Operator: Hello, everyone, and welcome to today's IHG Half Year Results Call. I will now hand the line over to Stuart Ford. Please go ahead.
Stuart Ford: Thanks, and hello and welcome from me to IHG's 2025 Half Year Results Q&A. So I'm Stuart Ford, Senior Vice President, Head of Investor Relations at IHG Hotels & Resorts. And I'm in the room today with Elie Maalouf, our Chief Executive Officer; Michael Glover, our Chief Financial Officer; and Jolie Fleming, our Chief Product and Technology Officer. I am obliged to remind all viewers of the webcast and listeners in on this call that the company may make certain forward-looking statements as defined under U.S. law. So do please refer to the accompanying results announcement and the company's SEC filings for factors that could lead actual results to differ materially from those expressed in or implied by any such forward-looking statements. In addition, we may also refer to certain non-GAAP financial measures. And once again, do please refer to the accompanying results announcement and SEC filings for reconciliations of those measures to the most directly comparable line items within the financial statements. That results announcement, together with the usual supplementary data pack as well as the replay of this morning's presentation and the slides for that presentation that accompany the webcast can all be downloaded from the Results and Presentation section under the Investors tab of ihgplc.com. So now over to Elie for a few opening comments.
Elie Maalouf: Thank you, Stuart, and welcome to this question-and-answer session. I'm Elie Maalouf, Chief Executive Officer of IHG Hotels & Resorts. Hopefully, you've all had a chance to watch the results presentation, which we made available at 7:00 this morning. It featured myself, along with Michael Glover, our Chief Financial Officer; and Jolie Fleming, our Chief Product and Technology Officer. Both Michael and Jolie are here with me today. Before we open the line to take the first question, I will summarize our strong performance in the first half of 2025. Our RevPAR grew by 1.8%, reflecting the breadth of our geographic footprint, the depth of our brands and the resiliency of our operating model. We delivered gross system growth of 7.7% and net system growth of 5.4%, driven by outstanding development activity and record openings. We signed over 51,000 rooms across 324 hotels, a 15% increase over 2024 when excluding M&A and large portfolio conversions. We expanded our fee margin by 390 basis points, driven by operating leverage and step-ups in ancillary fee streams. EBIT grew 13% and adjusted EPS grew 19%. We've completed 47% of our $900 million share buyback program, which, together with ordinary dividends, will return to shareholders over $1.1 billion this year. In summary, we made excellent progress on our strategic priorities, and we are confident in the strength of our enterprise platform and the attractive long-term growth outlook. And with that, let me turn it over to the operator to take the first question.
Operator: [Operator Instructions] The first question is from Jamie Rollo at Morgan Stanley.
Jamie Rollo: Three questions, please. First, could we start, if we may, on any flavor on current trading. I know you don't guide, maybe talk a bit about how you think Q3 is looking and whether you expect a pickup in Q4 RevPAR in the U.S. given the election comps and holiday shifts mentioned by some of your peers? Secondly, just on the half, the Americas fee revenues were down about 1% despite sort of 1.5% RevPAR growth at around 1.5% adjusted net unit growth. So if you could sort of bridge that 4 point -- roughly 4-point gap for us and talk about whether some of that might continue into the back half of the year? And then finally, on the central line, obviously, a very big swing from negative 40 to positive 17. On your prerecorded call, you mentioned some cost phasing. So if you could please quantify that? And are we now looking at something like a sort of $30 million, maybe $40 million sustainable profit line? And should we expect that to grow in the future?
Elie Maalouf: I'm going to address your first question, touch on the third one a little bit and turn over the second one and more detail on the third one to Michael. So first, current trading Q4, Q3, as you said, we don't give guidance. We look usually, of course, at the short term, but more usually at the midterm and the long term. And we feel, as we said in our statement, that most of the uncertainties and the turbulence that we experienced in March and April is subsiding. You still have some trade tensions, but you have more trade deals than trade tensions. You have financial markets that were down in March and April, they fully recovered, and got a record in the U.S. and in some European countries, too. You've got this clarity on the U.S. tax bill, provide certainty for businesses and consumers on lower tax rates going forward. We've got still job growth in the U.S. despite a job report last week that wasn't as high as people expected. It was still job growth. And we are at a record level of employment in the U.S. with stable inflation, stable interest rates. And you've really got a corporate capital investment boom, especially in technology in the U.S., driven mostly around data centers, AI infrastructure, power delivery to those and everything goes along with that. That's an underlying force. So we think that these fundamentals to continue a constructive outlook for U.S. demand, U.S. growth, U.S. hospitality and our performance in the U.S. are pretty good. What Q3, Q4 will be, we don't give guidance. But what we did say today, and which is similar to what we said after Q1, is we're comfortable, very comfortable with full year profit and EPS consensus. So we're not too stressed to add about it. If RevPAR is another point up or another point down, it's not going to change the trajectory of where we land at the end of the year at this point. We're focused on what we think is a constructive outlook going beyond that. Regarding Q4 election, you know what, we didn't call it out last year. We didn't think it was a significant mover for us. So we're not going to look at it in Q4 of this year as being anything different than what it was last year. Let me just touch on the central a little bit and Michael will go into the details. I don't think there should be a grand surprise about where we are in what is termed a central cost. We said for some time now that the point sales are going well, and they would step up another $25 million this year from the $25 million last year, and they're going to continue to grow. We said that our credit card revenues were going to step up and double this year from $40 million in 2023. And those are on track, and we've said that, and they're going to grow from there. And we've always been pretty efficient about our cost. Last year, our cost growth was only 1%. You can go back 15 years and see that our cost growth has been well disciplined below our revenue growth. We've taken some bigger opportunities this year that we saw -- that we could capture due to really the possibilities that we have with technology, artificial intelligence, shared service centers around the world that required a little further investment, which we called out in the release today, but those are sustainable. First, they're sustainable, and they're going to grow from there, but I don't think there should be any surprise there fundamentally. Michael, back to you on the last 2 questions.
Michael Glover: Yes, sure. So Jamie, on the Americas fee revenue increases, obviously, what you're looking at there is the triangulation between net system growth and RevPAR growth in the half, you've seen 1.4% in the Americas, 1.2% RevPAR growth in the U.S., and you're seeing roughly in the Americas 0.3% system growth. So you're kind of triangulating that and saying why has that gone negative? Now there's a number of things causing that in the first half of the year. First, you do have some hotels that have exited that were pretty high fee-paying hotels. And those -- particularly, there was one in New York, and that has impacted that. But we have a replacement hotel coming in to replace that hotel. It's just not in the numbers yet, and so you're getting a bit of that. The second thing is we have a bit more of hotels under renovation right now. So if you look at that on a total rooms available basis, you see -- won't see the rooms available growth. That's partly driven by that. There's also a bit of the key money amortization coming into that. You also have the leap-year effect. We've got 1 less day in the first half of the year. So there's a few bits and pieces that are coming into that, that's driving that. We don't see it as a long-term issue there.
Elie Maalouf: Not only that, let me just add that. I think the bigger thing to take into context here is our openings in Americas were up, I believe, 40% year-over-year in the half, and those haven't really fully ramped up. But when we have such a step-up in openings that is not the same year-over-year, there's still some ramp-up of those hotels that will accrete the fees on an increasing basis going forward, but we're not getting the full benefit of that yet. We're very happy with the fact that our opening stepped up that much in the Americas and in fact, globally, 75% year-over-year. But we still haven't gotten all the benefit from that fee growth because it is a significantly higher step-up than before.
Operator: Our next question is from Jarrod Castle at UBS.
Jarrod Castle: Yes, 3 from me as well. Elie and Michael, you spoke a little bit about residential contribution in your prerecorded remarks. Just wondering -- if you can, can you give us anything around kind of general scale of contribution to group profitability and how you see kind of the phasing or lumpiness of that business? Is it smooth? Is it a particular period, et cetera? Secondly, some interesting kind of within the presentation, you have many bucket on the tech buckets you're kind of investing in, in terms of promote, optimize, engage. Can you give a bit a little color in terms of where time and investment is generally going amongst those 3 buckets? It seems it could be wrong, it seems like optimized through the PMS and the RMS systems. But that would be the greatest amount of time and spend, but any comments there? And then Michael, on your -- again, your prerecorded remarks, you spoke about Ruby, and that seems to be going well. Elie also spoke about Ruby in terms of pipeline and integration. But if I'm not mistaken, you also mentioned you have potential for further M&A or additional brands. Is that more a medium term? Or is there anything in the short term that can be done there?
Elie Maalouf: So first, on branded residential, Look, we're very excited about our trajectory there. First, it really starts from having constructed what I think is the leading Luxury & Lifestyle collection out there, may not be the biggest yet. That's not the goal. I think is the most aspirational, the leading one. The majority of our  Six Senses and Regent Hotels coming into the pipeline now are coming with the branded residential, and that's led us to having 30 properties now that are open and selling, and usually they start selling well before the hotel opens, right? Well, before the residents are even finished. And so that starts to bring cash flow to our owners and actually fees to us even before the hotel or the residences are ready. And we have quite a few more coming under development. There's a lot of excitement around this space. And it's extending beyond just those 2 ultra luxury brands, but also to InterContinental to Kimpton, and we're getting demand from owners for some of our other brands, some of other lifestyle brands. So I think we've got a vector of growth there for fee growth. It is today still smaller than  co-brand and point sales, but it's growing, and we think it's going to be a consistent contributor. I'll be visiting actually next month in Dubai, some of our developments, where we have quite a bit of branded residential, either already selling some open and some coming. And here in London for you that are calling from here, the Six Senses in London is getting ready to open and those branded residential sales are on track. On how we're investing under the 3 technology pillars that Jolie spoke about. We don't disclose the individual investments. They are in our system fund. We manage them and govern them very prudently in the interest of the system fund of our owners. They all have very high returns, I can tell you, and we've been at it for some time. I mean, we've been investing in GRS for a long time, even before I started and here at IHG 11 years ago. Our new app has been a consistent investment for years. The PMS new project has been going on for at least a couple of years. It's now active in the market. And everything we're doing with the RMS, revenue management system, has been going on for a couple of years, and it's not most of our hotels. So it's nothing new. And you have to think about this as a consistent level of investment. It's not sort of a big build the product and then just watch it go. We think more in terms of product management here, in terms of -- not so much in terms of a project because you have to keep these things current. You have to keep it fresh. You have to keep it competitive. Those investments are in the system fund, but they're delivering very good return for our owners.
Michael Glover: I would just add on that, Elie, a lot of that -- a lot of people think about do you have tech debt that you have to do and big outlays of cash that you have coming up. We really don't have that. As Elie mentioned, we have been consistently growing and investing in our tech as a result of our system fund. So we will continue to do that. And so we don't expect to see any large investments that would come out of the ordinary in what we do.
Elie Maalouf: And part of it is because we've been on a journey for multiple years to stay current and update our tech stack. So we don't feel like we face a significant or any deficit that requires a massive leap of capital and effort. On new brands, M&A, of course, I'm not going to make any specific comments, as we never do. But we're very pleased with the trajectory of Ruby. 16 of the hotels I mentioned already in our system. The next 4 will be in our system before the end of the year. And the pipeline of 10, which is now a pipeline of 14 since we bought it will be opening over the next several years in incredible destinations today around Europe, but we'll be launching the brand in the U.S. by the end of the year, and then we'll take it further east from there. And we've shown that ability to take brands, whether the ones that we develop ourselves or the ones that require internationalize them and lead them to success. And by the way, adding more brands to our portfolio, which I don't know when it will occur, but it will occur. It has been occurring. So it's going to continue to occur. Doesn't have to be just inorganic through M&A or partnerships. At least half of the new brand additions we've had to our portfolio have been organic internal development. So that could occur, too.
Operator: Our next question is from Jaafar Mestari from BNP Paribas.
Jaafar Mestari: I've got 2, if that's alright. Firstly, on operating leverage. So Americas fee margin is up in the half, but there's obviously a better Q1 than Q2 there in terms of RevPAR. I know you're expecting some improvements later in the year in Q4. But big picture, how should we think about fee margins, if you were to remain around the 0 RevPAR? Would fee margins be flat. Could you make some progress from efficiencies? Would they be down because flat RevPAR and some cost inflation? I'm not expecting you to communicate on the Q2 fee margin, but yes, along those lines at flat RevPAR, how the fee margins look please? And then secondly, group's bookings, Americas Group's bookings, if I remember correctly, were one specific point of strength you had mentioned in the previous call with some visibility. I think you had plus 7% group's bookings on the books for the summer. In the half, group's occupancy was actually down in the Americas. Just curious what the moving parts are? Are the long lead time bookings you already had on the books, are they definitely happening and holding? It's just a short lead time bookings that have not been very strong? Or have there been any cancellations, for example, on the stuff you had on the books?
Michael Glover: Yes. Well, let me pick up the operating leverage and the margin. I think we have said many times in the past, we expected Americas margin to continue to improve, and it wasn't at the highest level. So it's pleasing to see that continue to move. And we've had a number of things in the Americas, and we've talked about the cost exercise that we've done and the improvement in margin that we've seen from operating leverage. Our margin was 390 basis points up at the half, 130 of that has come through our ancillary fees. So we talked earlier about the step-up in credit cards and step-up in co-brand -- sorry, point sales, and that delivered 130 basis points. The operating leverage delivered 260 basis points. And within that, we had really strong cost management. And that is really around the company. It was across all functions within Central within the regions. So everybody has been involved with that program and working to reshape our cost base so that we can scale this business center in the future. And that's something that Elie and I have been working on since the beginning that we started. And fortunately, we've come to a time where we can make a step change in that. And that's what you've seen and that's what you've seen us do. The exceptional you see is really related to the setup of some of that, and we're able to take advantage of things like new technologies, like shared services centers, process improvement and continuous improvement. And we'll continue to do that, and we have the opportunity to continue to grow that. And that's no different for any of our regions or even in Central. And so as we look forward, in a lower RevPAR environment, we still have the system growth that will come in -- that we expect to come in. And then we still have the cost savings that will continue. So we said in there that we expect costs to be down 1% to 2% in the full year, so a little less than where we are here at the half. So we still expect to see really strong margin growth as we get to the full year.
Elie Maalouf: I think what's even more important though is, first of all, we are being very efficient about our costs while we're growing the business and putting more resource and investing more in high-growth opportunities. We're integrating Ruby and building it out around the world. We're investing more in high-growth markets like India, the Middle East, Southeast Asia. We're investing more in high opportunity markets for us like Japan and Germany. We're developing all of our brands around the world. We're investing more in the technology stack that Jolie took you through. So this is not sort of a cost management that's leading to business retrenchment. Actually, we're finding this exciting opportunity to still grow, to amplify our business around the world and do it prudently. That's the leverage that we're getting from technology, from artificial intelligence, from our shared services centers, from process redesign. And I think that's the benefit of everybody, and the other thing is we're doing that while we'll be able to grow signings up 15%, openings up 75% and supporting all that growth in our estate, which adds to the operating leverage. Brings me to your question about operating leverage in the Americas. And yes, we're pleased with the improvement. Last year, the operating margin went down a little bit, and there were a lot of questions about had we topped out in the U.S., and we said, no, there are some moments, where we're digesting certain investments and that we would resume the operating leverage growth, and we're pleased to show that we are doing it. On the groups, there was, I'd say there was an inflection from Q1 to Q2 in all business in the Americas, particularly in the U.S. We attribute some of that to the Easter shift, and some of that, as we said earlier to the turbulence that occurred in March and April due to trade tensions, policy, tax questions, financial market drops. I mean when  the financial markets in the U.S. dropped double digit, probably close to 20%, that probably created some pause in consumers and businesses. But we also said in May after Q1 that we're past the peak of that turbulence and that we saw things subsiding and attenuating and creating more certainty since then. And that's what we've seen. We've seen more certainty, more certainty on trade, more certainty on tax, financial markets have fully recovered. Job market is still strong. Investments -- corporate investments are strong. Corporate profits, through the second quarter, here they're being -- that are coming through on S&P are still pretty strong. So we think that's a constructive more stable, more certain outlook. And so whether it was business leisure or group, you saw a downshift from Q1 to Q2, but we think the outlook is more constructive going forward.
Operator: The next question is from Muneeba Kayani at Bank of America.
Muneeba Kayani: I wanted to start firstly on net system growth in the first half, which was 4.6% and then if we adjusted The Venetian, it's 5.4%. I wanted to hear your thoughts on net system growth, right? Because we've seen -- we've been in that 3%,  4 % range, I'd say, for a while, like do you think this is a sustainable tick up to a 5% level? And how are you thinking about that, given where you're looking of signings, openings pipeline are right now? That's the first question. Secondly, if you could talk about China, what are you seeing there? When do you think RevPAR trend could be flat or even positive? And anything on the development environment as well?
Elie Maalouf: I'll take a shot at your questions and then Michael, if you want to add to it, feel free. So look, we are pleased that -- within this context, which is -- I think we acknowledge it. It has not been the most certain and clear context for the last 6 months. There's been a lot that's given people concern and pause and uncertainty and all that. Despite that, we're able to earn the confidence of our owners, who have powered our openings up 75% year-over-year. I mean, that is a demonstration of the confidence that our owners, our investors have in IHG's brands, IHG's enterprise to not only sign 15% more hotels for the future, but to open 75% more hotels. And that occurred across all of our regions. It was not just one region. It was Americas, it was EMEAA. It was Greater China. We are confident in reaching the consensus of net system size growth for this year. But look, we're always aspiring to do more. We're not saying that's the ceiling. We're not saying it couldn't be more. We hope to do more. I'm confident that over time, we will do more as our pipeline continues to grow, as our signings grow and openings grow. And our brands -- many of our brands are really early in their journey. They have pipelines that are not just at the minimum of 20%, which is at least the pipeline to open ratio of our brands. We have -- many of our brands are multiple times in pipeline or new ones of what's open. So they have decades of growth ahead of them and many countries to penetrate. We still, in the first half of the year, penetrated over a dozen countries with brands from our existing portfolio that had not been -- so that is growth. It may not be a brand launch, but it's a new brand launch for that country. And it's a new start and it's a new set of opportunities. So we're excited about where we can go and you look, you see how we're doing in conversions. Nearly about half of our openings and signings are conversions. That's double what we used to do. That's demonstration of the power of our enterprise, drawing brands to our enterprise, other hotels to our enterprise, and the introduction of the new brands that are more conversion friendly. So we're confident with this year, and we're confident we can do better going forward. On China, look, we, I think, have been consistent in our messaging in China that we are constructive and optimistic about China in the long term. And in the short term, we see China bottoming out in our industry. In fact, look, there are some sectors, some industries in China that are having a really good go right now, whether you're in electric vehicles, you're in artificial intelligence, you're in data.  They're doing very well. The other sectors, we know the residential real estate is still in digestion of the over building, the overhang, but that is occurring. So I think that China, overall, we think the economy is bottoming out and improving. You have GDP growth over 5% in the second quarter. You saw export results today surprising people to the upside over 7%. So despite all these trade tensions, the economy still manages to increase exports. But in our industry, Q2, and in our company, Q2 was better than Q1 in RevPAR. Q2 was better than Q2 last year. We think the back half of the year is going to be better than the back half of the year last year as we continue to bottom out, flatten out. Whether we get to 0 this year or not, I think it's a possibility for the rest of the year. I don't think it's something that changes our outlook. We will turn the corner again in RevPAR given the undersupply or the underpenetration of hotels per capita, given the strong travel demand. So we're confident that we will get there sooner, maybe than later. We're not sure exactly when, but we are in the bottoming out phase. Meanwhile, I would pay -- I would call your attention to the record development progress we're having. Record signings in the first half, and we expect that to continue for the full year. Record openings, and we expect that to continue on top of records last year. And we're holding occupancy, which means that although we're adding and taking share in supply, and I emphasize taking share. We are still maintaining occupancy, so the market is still absorbing the supply we're bringing.
Michael Glover: And we're still seeing that dynamic of -- the Chinese are traveling. I mean, as Elie mentioned, our occupancy was basically flat in the first half, up slightly, and even broadly flat in the second quarter. And we still saw the same dynamic happening of a lot of travel outbound. And so if you look at those countries around Southeast Asia, Japan, Korea, Vietnam, we all saw a double-digit RevPAR growth in there within our business. So we're seeing those Chinese travelers still travel. This is still the same dynamic of more outbound travel.  As Elie said, we still feel confident about where that can go.
Elie Maalouf: And we benefit from that outbound travel when they go to Korea, to Japan, to Vietnam, to any of those places where we've got hotels and sometimes at higher rates with IMFs in those markets. So it's not a disappointment for us.
Operator: The next question is from Richard Clarke at Bernstein.
Richard Clarke: Three, if I may. Just the first one, last quarter in Q1, you gave some very helpful directional commentary on the books revenue, I think, flat in the Americas, strong level of growth in EMEAA and heading better in China. Just wondering maybe one the philosophy of why you've not given that again? And has anything meaningfully changed on the book revenue? Secondly, closure is a bit higher. You gave a few explanations of that and said it doesn't change your view of 1.5% in the longer term, but are higher closures going to linger for a few quarters? Or is this just 1 quarter effect. And then lastly, just on Garner, just an update on how that brand is going. It feels like an interesting battleground where yourselves, Hilton and Marriott have all launched quite similar brands at the same time. So how are you competing in that? I know Marriott has gone with an innovative fee structure on City Express? Is there any desire from the owners to want to match that? Just an update on how Garner is progressing.
Elie Maalouf: Richard, let me start from your third question on Garner. Look, we're very pleased with the progress of Garner. I mean we opened 28 Garners in the first half of the year. We've got 17 of those Garners came with the NOVUM deal, 8 openings in the U.S. So altogether, we have 51 open Garners. Globally, we've got another 80 or so in the pipeline. So you've got -- actually the pipeline is 138 hotels right now, 13,000 rooms across 10 countries. So I mean, the brand is powering ahead of our expectations. And the interesting thing is it's reaching international demand ahead of our expectations. We thought we'd be in a few international markets by now. We honestly think we would be in over a dozen. And that's exciting because we're seeing demand from owners across. So we -- there's enough territory here for more than one global company to be successful. I would not -- we don't look at it as sort of -- yes, of course, we're always competing with the others, but the opportunity is large enough, not just in the United States, but globally for several key players to be successful as you see in other segments. I mean there are multiple segments where the top players are all successful and grow share at the expense of others and grow share from new supply. So we think there's -- there are decades of growth for Garner ahead of us. And working sort of in reverse order, on the removals. I mean, first, I'd say they are more elevated than our long-term target, which we're comfortable with at 1.5%. But at the same time, we still had strong net system size growth of 5.4% and record openings. You've got a couple of factors in that we mentioned. In China, the rules are a little higher than we'd like. And that, I think, is just a phasing as there's the post-pandemic digestion that started later. We had, as Michael mentioned, a single large removal in the United States. But the good news is we have a replacement for it that is not in the brand system yet. So I don't think it's a structural shift. And we think that long term or even in the midterm, we will normalize back to our trend, but we're very pleased with the overall gross openings, signings and powering our net system size growth further. Let me turn it over to Michael to answer your question about on the books.
Michael Glover: Yes. So Richard, when we gave out that Q2 on the books kind of guidance there, we really did that because we were trying to help explain that Easter timing. As we look into Q3, I think we've mentioned that Q3 could be similar to Q2. The booking windows are still very short. If you look at our booking windows there, roughly 60% of our bookings are coming in within 7 days of arrival. So the booking windows are still very short. So even for us right now, it's a little harder to have some of that visibility out longer term into kind of the fourth quarter and beyond given those booking windows.
Elie Maalouf: Though you'd have to take some note of the fact that in looking at our business overall and where we stand today, early August, that we're very comfortable with consensus profit and consensus EPS and net system size growth. So that -- yes, we're looking at everything in the round. And look at RevPAR is 1 point more or 1 point less than expectations today. I don't think it makes a difference to where we land.
Operator: The next question is from Estelle Weingrod at JPMorgan.
Estelle Weingrod: The first one is on cost savings again around the H1-H2 phasing of this more specifically. I mean does it imply an acceleration of operating costs in H2 year-on-year? And also, can you give us more color on what are the key cost buckets that contributed to your good margin performance in H1? Is that mostly your overheads. And on that point on fee margin expansion, is that right thinking that the fee margin upside in H2 will likely purely come from ancillaries? And the last question, the third one, can you give us more color on EMEAA? It was a little bit behind. I mean not a complete surprise, but can you go through what dragged the slowdown, please?
Michael Glover: Estelle, I'll take the cost.
Elie Maalouf: Let me take the third one on EMEAA, and then Michael will pick up on cost savings and fee margin. Look, we're very pleased with our performance in EMEAA year-to-date and quarter-over-quarter. Of course, when you've got -- when you've got strong RevPAR last year and also in Q1 of 5%, at some point, you're probably not going to comp exactly like that. You had a significant number of onetime events last year in Europe. You had Olympics in Paris, European football championships in Germany. And of course, Taylor Swift, right, going around Europe. We can joke about that, that was probably more important than the Olympics or football championship. I mean, you had Americans flying into Europe, and I know quite a few, to go to Taylor Swift. Even Stuart sitting next to me here, he said he went down in Madrid because he couldn't get tickets in the U.K. It was a phenomenon. So we're lapping over that, but look, 3% in EMEAA is something we're pleased with in terms of performance, especially given some of the uncertainties. And so -- but you got to look more broadly in our business in EMEAA with very strong openings up 136%, signings up 36%. You got to look at the totality of our business, it's going in a very good direction.
Michael Glover: Okay. From a cost savings perspective, I think you can from my presentation, IHG has really maintained a highly disciplined approach to cost management for a very long time now. This is a continuous mindset, which underpins how our business operates. And Elie and I have been looking at efficiency and effectiveness in our business since really day 1 on the job. And there's always ongoing action. And really through process redesign, greater leverage of centralized support and enhancing our use of technology, particularly AI, we are driving an even more highly efficient and scalable space with savings that are sustainable through the long term. Now we've got a little bit of cost, as I mentioned earlier, to set this up, but that's really setting this up so that we can take advantage of this for the long time. And obviously, we've seen these actions to deliver 4.5% cost savings in the first half. We mentioned that we felt like it would be about 1% to 2% in the full year. And so that would probably -- that would mean you're kind of flattish in the second half of the year. There's a bit of timing in that in the first half of the year as well. So we still expect to see margin accretion as a result of the cost savings in the full year. We definitely have the ancillaries. We still expect to have about 130 basis points of margin accretion associated with that. And so we still expect operational leverage due to growth of our system size and then to cost savings as we move into the rest of the year. So still, I think I'm going to be at the full year, a really solid result in terms of margin expansion.
Operator: The next question is from Alex Brignall at Rothschild & Co Redburn.
Alex Brignall: I'll do 2, if that's possible. Finally, just on costs, I'm really sorry to ask it again. I went through whole this morning with the IR team, but just the final piece of it. If we look at $57 million difference in the full year, we've got $32.5 million in credit card and loyalty and then the $15 million from the Central costs that you've taken out, which you sense that it's going to be is obviously H1 weighted. There's obviously another little bit in there. Could you just tell us where that's coming from and whether that's part of the ongoing improvement in the contribution of that central line or whether there's some timing? And then on net unit growth. A lot of your peers have talked about an expectation that conversions will add a greater proportion of their growth in the future than they have in the past, Marriott, specifically going from sort of 10%, 15% to 30%. And obviously, that's necessary in an environment where there's new construction growth. But can you just talk about how that will work? It's obviously very competitive and conversions are somewhat of a zero-sum game given it's not new supply. So how you think that will work in the context of key money, which has obviously been going up and some of the sort of bigger mass conversion deals where the fees for certainly your peers have not been anywhere near as high as the sort of normal group fees.
Michael Glover: Okay. Let me take the Central question there. Yes, you explained some of that, but I'll just recap for everybody on the phone. We did say that our point sales at the beginning of the year and when we did this change, that it would drive $25 million of incremental revenue last year and then an incremental $25 million again this year for a total of $50 million. So you are seeing that $25 million come through this year, and we fully expect to realize that, and is a really strong revenue stream for us. The other side of that is the credit card. And you may remember that we did say that this year, we would double the credit card revenue that we had in 2023. And that was approximately $40 million. We've also said that continues to grow into 2028 up to 3x what we did in 2023. So we continue to grow those, and we feel like those are really strong growth revenue streams, and feel very confident about delivering that at this moment. Within Central, we also have always had revenue that comes through as well related to technology fees. And that also moves with RevPAR for the most part around -- for parts of the world, and also grows with system size as we add more units. And so you're seeing a bit of that come through. And then, of course, we've got cost savings within that central line that has -- we always had overheads in there as well. And so you're seeing some of that cost savings. That's really the 4 areas that are driving that central revenue line potential area to a profit now.
Elie Maalouf: To add to that, the underlying fundamentals of the ancillaries, credit card and point sales are very healthy. You heard us report that we had credit record, very strong additions to our loyalty plan, very strong additions to our credit card, and that's ultimately the membership and the engagement of the membership is what leads to point sales, what leads to credit card applications, what leads the credit card spend. And so -- and of course, also the strength of the portfolio and the strength of our distribution. So with strong openings, strong signings and continued delivery in our Luxury & Lifestyle sector, too, which powers the loyalty plan too. So you got to look at those fundamentals and see, are those fundamentals underpinning the growth in the ancillaries? Because we got to this point in ancillaries and co-brand and point sales not just by doing that, but by building out a Luxury & Lifestyle collection and portfolio and getting distribution out there, by building out IHG One Rewards membership and engagement and replatforming the app and getting better benefits in there. And that's led to that ancillary growth, which is now no surprise, although we've been telling people, is in the numbers, and that is the biggest year-over-year inflection in the central in addition to the cost savings, which are all sustainable. We've got to look at the -- then of course, as Michael said, there are a lot of other little bits and pieces, but those are the fundamentals, and their underpinnings are healthy. On net unit growth conversions. I think you also there have to start with the fact that everybody is going to have a different story perhaps on that. We today have a broader conversion portfolio arsenal with  our conversion brands at Vignette, voco, Garner. And we still do a lot of conversions in our established brands, but it was only those in the beginning. Now we got these brands that, as I was speaking earlier, richer, especially in Garner, it is doing very well. Voco is over 100 open and over 100 in pipeline. Vignette, well ahead of its projection to get the 100 open hotels in 10 years. And so that gives us more arsenal to go after conversions. And we are -- yes, we report and we discussed the proportion, which in the first half of the year, when you exclude Ruby, openings was 57% and was 39% in signings. But we're less focused on the proportion. What we're focused on is on growing both new-build and conversion. And new build, especially -- well, frankly, in the whole world, but expert in China, is still below its potential. It's improving. Our new-build signings are growing. Our new-build openings are growing, but our new-build signs are up 9% for the year. So it's improving, but it's still well below its potential. So I would not be unhappy if we grew our openings and signings even more than they're growing today. If we had more new build and the proportion of conversions was lower, but it was still more conversions. So it's not really a positioning or an articulation of proportion, it's about growing both, but we have more arsenal, more tools to grow conversions today. In terms of a couple of comments that you made that it's a zero-sum game. We look at it differently. It's a very big addressable market. I know you have recently published something talking about the addressable market. We just have a view that the addressable market is much bigger. It is not just the independents. The addressable market, in fact, most of the conversions we do are not from independents. We do from independents. Most of the conversions we do are from other brands. That is a big addressable market that, first, it continues to grow because new build feeds it, but also is addressable by our stronger brands and stronger enterprise system, which -- you may call it as your zero-sum game. We think it's actually healthy for the industry because it's not only not adding new supply there for support of our RevPAR, but it's improving the existing supply for guests and for owners and demonstrating the strength of our system.
Alex Brignall: I just have one follow-up on the loyalty contribution. That's a really, really helpful slide in the presentation about loyalty enrollments plus 22, but then Reward Night is going to plus 5, which is pretty much your net unit growth. So are we to read from that, that the 22% -- the number of loyalty members have grown a lot, but the percentage that booking has not really changed as percentage of the total because I'm just trying to tally that with the comment you made on high engagement from loyalty numbers.
Elie Maalouf: I don't think that's a direct read across. After people enroll, it takes time for them to accumulate a balance, reach status and then redeem. And we're in a point right now where we have fast enrollment growth, that will translate into engagement into redemption growth, but it takes time for people to build a balance because had our enrollment growth not accelerated, you might see more of a one-to-one relationship, although it's not going to be like that quarter-to-quarter, year-over-year because different things leads people to behave differently, whether they want to use cash or points. But it does take time for people to build status, build their milestone rewards, build their points. But once they get in, they get engaged, they stay as we see and they reach that point of converting into redemptions.
Michael Glover: And then we actually -- what you see is really strong growth in member penetration. And if you look at that, that rose to 65% in half 1, up 5% an increase from half 1 '24. The Americas region, the contribution level is reaching around 70%, and that's really up there a best-in-class contribution from the loyalty programs around the industry. So I think we're seeing really improvement everywhere across all 3 regions, but that just shows you the value of the  platform and what we've built and the app that we built and how we relaunched it back in, what was it, 2022, half year 2022. And it's really been growing, and that contribution level is really great.
Elie Maalouf: I mean, 5 years ago, our global loyalty contribution was around 50% -- loyalty being at 65%, 70% in the U.S. shows you that there is value to the work we've been doing. It's delivering for owners and delivering a better value proposition. So to us, that's a very important measure of engagement and success of the initiatives we've launched.
Operator: [Operator Instructions] Next question comes from Leo Carrington from Citi.
Leo Carrington: Two questions for me, please. Firstly, it probably ties into that last answer. But in the release, you noted 2 percentage points, I think, improvement in direct digital bookings. The drivers are outlined well, but I'd be really interested to know what you see in the other channels and presumably some of these have been giving share away to your channels. And then secondly, on the new-build signings, which you mentioned are up 9%. Is that still mostly driven by China? I'd be interested in hearing what developers are saying in the other regions and whether the other regions can also consistently grow new builds from here?
Elie Maalouf: Okay. Can you repeat your second question, please, again?
Leo Carrington: Sure. Just around the new builds trajectory by region. China is still below its potential but presumably contributing more to that growth. I'd just like to know some more about what's happening in EMEAA and Americas with new build specifically.
Elie Maalouf: Talk about your -- talk about the digital bookings. Now we're pleased with the growth in our digital bookings. I think we're -- from time to time, you see changes from -- for example, the voice channel is one that probably isn't growing anymore. People are shifting to digital channels, whether it's web or app. Our GDS channels are still doing well. We're not losing share to third-party channels, if that is your question. No, we're not losing share. If anything, we're gaining share from third-party channels, although we work very constructively with our third-party travel agencies, whether they're online or not. And we have a constructive relationship to bring the right inventory at the right price for the right customer and the right channel, but overall, digital has been on a consistent growth trajectory year after year as people's behaviors and device usage changes.
Michael Glover: Elie, I'll start off maybe some of the new builds, just to give some additional facts and then you can give some color on that. If you look at our signings in the Americas, actually only 3% of our signings in the Americas were new build signings. In EMEAA, 51% of our signings in the half were new build. And that was actually up 45%. And as you then go so to Greater China, 67% of our signings were new build, and that was up about 4%. And as a group, we're up 9%. So overall, you really see there's still a lot of new-build signings coming. And that's great because we've got great brands for new-build signings in brands like avid and Atwell and things like that will really drive strong growth in those new build signings over time. At the same time, we've introduced great conversion brands, whether that be voco, Vignette, Garner. And then even our Holiday Inn Express brand continues to be one of the highest conversion brands that we have. So we have a really nice mix between new builds and conversions, and we feel really good about that. And to be honest, we want all signings, whether that's new build or conversion. And so we're out there trying to win everything.
Operator: We have no further questions on the call. So I will turn back to management for any closing comments.
Elie Maalouf: Well, thank you, everyone. It's been great to connect with you today. We're very proud of what our teams have accomplished in the past 6 months, and we remain confident in our ability to continue delivering on our strategy and driving shareholder value creation going forward. Our next market communication will be our third quarter trading update on Thursday, the 23rd of October. Thank you for your time and interest in IHG, and I look forward to catching up with you soon.
Operator: This concludes today's call. Thank you all very much for joining. You may now disconnect.